Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Agnico-Eagle Mines' Third Quarter 2012 Conference Call. [Operator Instructions]  I would like to remind everyone that this conference call is being recorded today, October 25, 2012. I will now turn the conference over to our host, Sean Boyd, President and CEO. Please go ahead, sir.
Sean Boyd: Thank you, operator, and good morning, everyone, and welcome to our Q3 2012 conference call. As per usual, we'll go through a short presentation and we've got our full team here and prepared to answer your questions. Please be advised that this presentation does include some forward-looking statements, so we do have our Safe Harbor language available on our website and in the presentation material today. I'd like to start off given the several records that were set in this quarter in thanking our employees for a very continuing strong operating performance again with several record performances. A lot of hard work and a lot of smart planning were behind these record results and again, I'd like to thank our employees for that. As we look out at our positioning and our focus and our strategy, as we've said many times over the last little while, there's no need to change strategy. It's well matched to our skills. It works for us. It's allowed us to create a lot of value over many years. So again, no change going forward in the strategy. As we look at our positioning based on how the assets have performed this year, we truly have a portfolio of mines that continues to perform well. And so when one asset is having difficulties, we're able to make that up with our other assets. This is the first time in many years that we've had everything working, so they're acting like a true portfolio which lowers the risk going forward from a technical and operating perspective. We have growth coming into 2014 and 2015. We'll talk about some of those growth projects going forward being LaRonde, the higher grade and the lower mine; La India, which is under construction; the restart of satellite zones at Goldex and also the expectation that we should continue to do well at Meadowbank, which should drive growth going forward. We continue to be an active explorer largely around our existing assets. We will have an exploration update that'll come out in November which will highlight the work we've been doing over the summer months, and we continue to see growth in our deposits, several of our key deposits. On a strategy side, we continue to look at the small end of M&A opportunities. Our objective is still to try to get in early if we can find the right fit. Geographically, we continue to focus in and around the areas we currently operate. We're looking to leverage off the people skills, so it's a strategy that's not going to increase our political risk profile, which is one of the best in the business. So as we come out of the quarter, we continue to generate strong cash flow. We're looking as we go through the budgeting process and the long-term planning process to strike the right balance between dividend, between exploration funding, between reinvestments in our existing assets and our growth assets. And while doing that, we expect to continue to generate net free cash flow to enhance our financial position, which we did again this quarter. We've announced a couple of personnel changes in the quarter. I'd like to congratulate David Smith, who is now our new CFO, and I'd like to congratulate Picklu Datta, who's the senior VP of Treasury and Finance. We've had a number of changes over the last 9 months from, and the way we look at it is the people that have left us over the last year or so have been a big part of not only our performance and the quality of company we have built, but also were a big part of the culture that we built here, which is a great culture, so we thank them for their efforts. And our job is to look forward over the next 5 to 10 years and we have a lot of bench strength here and that gives us an opportunity to continue to put good people in the right positions to strengthen our business. So that's how we've come at the recent promotions. So again, congratulations to both Dave and Picklu. Moving to the operating results. We had record quarterly production. And if we look out the full year, I think what's really important to note is that essentially, the 5 mines have produced more gold and made up for the absence of the Goldex production after we had to suspend operations there last year. So that's tremendous performance from the remaining 5 mines to make up for what we lost at Goldex. And to do that, we continue, as we said, to get record performance. We saw a record production and throughput at Meadowbank. We'll talk about that a little bit more detail. Record production and really good costs at Kittila. We'll also discuss that in more detail. It seems like every quarter, we continue to get good performance out of our operations in Mexico, extremely low cash costs, sub-$300 in the quarter. That's generated record cash flow for 9 months, almost $600 million for the quarter, about $200 million. As a result of the strong performance, we've upgraded our production guidance again for the second time this year to 1,025,000 ounces, up from 975,000. If we go back and look at where we were at the beginning of the year, we've got questions out there, "Well, you lowballed this, you lowballed that." If you actually look at it, 60% of the increase in guidance from the original number comes from one asset, and that's Meadowbank. The others will likely be within single-digit percentage points of where we expected them to be when we started the year. And when you think back of the challenges and difficulties we had at Meadowbank, we were hopeful when we put together our new mine plan. But until we actually did it, we were unsure whether we could deliver the type of volumes that we've been able to deliver to the plant on a consistent basis, and we were unsure when we started the year whether we could deliver those tonnes at the grades that were suggested in the reserve model given the challenges we had last year in blasting, in dilution, et cetera. And so we were a bit cautious, and I think that cautious -- that conservatism was warranted given the challenges we had last year. We knew that we could process those tons. I think we've been a bit surprised on how quickly the team has responded and the excellent work they've done to be able to maintain consistently that production. Our expectation is we can maintain the throughput next year. We've always talked about Meadowbank in the context of having higher-grade pockets. What we weren't sure of when we started the year is when we got to high-grade pockets with the changes we made were we going to be able to deliver those high grades to the plant. Well, we've proven we could do that. It's variable from quarter-to-quarter. In fact, as we move into Q4, we expect lower grades at Meadowbank, but on balance, an extremely strong year. As we look at Q4, we'll see lower grades at Meadowbank. We see lower grades at Kittila. We see our leach pad being off line for the next few months at Creston Mascota, which is about 4,000 ounces a month, and that really contributes to the full year guidance of 1,025,000 ounces. Looking at 2013, our guidance is unchanged. People say, "Well, you've had such a good year, why don't you increase the guidance for 2013?" Number one, we haven't completed the budget process. We're in the middle of a budget process, but there are some moving parts to 2013. One is a slower transition to the lower mine at LaRonde into the higher grades. We've talked about that for several quarters, so that will result in lower production coming out of LaRonde next year. We will still have lower production in the first half of the year coming out of Creston Mascota. On the plus side, we expect strong performance from Meadowbank. So we need the budgeting process to work through the pluses and minuses to get a better feel for 2013. But we look at 2013 as a building year, as a year where we focus on La India, a new project in Mexico. We visited that project this week. Construction's well-advanced, things are going well there. We look to continue to develop at Goldex to restart the 2 new satellite zones to stay away from that GEZ zone, but to open that up as well. We look for better grades coming out of LaRonde in the future. So we're setting up 2014 and '15 through our efforts and work on developing some of our existing assets and optimizing some of those assets as well. So we'll come out with a full update in February of next year on our 3-year life of mine production and cost forecast. As we look at our mines in detail, as we said, we had several records. But again, I just want to reemphasize that it was across-the-board solid performance from all of our operating assets, which contributed to us being able to replace all of the production that we lost from the Goldex mine. The financial results side, we had, as we said, strong earnings on over -- on a normalized basis of over $0.70, very strong cash flow, so per share performance continued to be very strong. What these financial results have done is allowed us to strengthen our financial position again this quarter. We were able to increase our cash by $30 million to now $320 million. We were able with our long-term debt financing that was done to repay what was drawn under our credit facility, so now we have a fully undrawn credit facility of $1.2 billion. As far as free cash flow, as we look forward on free cash flow, we're expecting, as we've said, capital expenditures between $500 million and $600 million, and given the expected EBITDA net free cash flow, we'll be able to cover that from the existing cash flow generated from the existing mines. As we moved to operations, at LaRonde, we continue to face heat. We continue to face congestion in the lower mine. There's a lack of flexibility in the lower mine and what we've done is come up with a lower-risk mine plan to transition into the higher grade and lower mine. We'll have the details of that in February as we go through the budget cycle. But still, all in all, LaRonde will do it's guidance numbers, still generating significant cash, it's still got an extensive mine life ahead of it of about 15 years. And what we look forward to is an ore that has a value of about 50% higher than what we've been mining over the last year, 1.5 years. So it's still a big contributor for us as a company going forward over the next 10 to 15 years. At Lapa, they continue to have steady quarterly production, continue to manage their costs well in a difficult underground environment. Dilution was also well under control during the quarter. We had some exploration success at Lapa. Our expectations now are that we will be able to continue to mine that deposit into 2016. As we began this year, our expectation was it would end in 2015. So we're in a position to extend that to 2016. At Kittila, record production, almost 50,000 ounces, good costs, costs of around a little less than $500 an ounce so generating good operating profit. We continue to have very good exploration results, that will be part of our exploration update in November. We continue to get good results under Rimpi, where we've had results that are better than the ore reserve grade and good thicknesses, which could potentially impact on a -- in a positive way the economics of that deposit as we move forward. We're studying the initial expansion. We should have the study done by the end of this year. And as we move into 2013, we will be transitioning fully into an underground mine, as  a result our cost structure will be higher at Kittila, and we're working through those numbers during the budgeting process right now. At Mexico, as we said in the introduction, they continue to have strong performance, produced over 60,000 ounces at a cash cost in the quarter of $212 an ounce. They had record silver production in the quarter. We did have a movement on our leach pad of ore. As a result, we have suspended operations at that leach pad. We expect to resume production from the Creston Mascota leach pad in the second quarter of 2013, and that roughly accounts for about 4,000 ounces or so a month coming out of the Creston Mascota operation. At La India, construction has gotten off to a very good start, and we're set to add that to our production profile in 2014. At Meadowbank, we had extremely good mining performance and extremely good milling performance in the quarter. In terms of moving waste and ore, we moved on average in Q3 a record 102,000 tonnes per day. If you recall last year, we were struggling to get anywhere close to those targets. So that's something that we're in a comfortable position to continue to do as we move forward. We've seen improvements on maintenance and equipment availability in the quarter up to 79%. Our target was 75%,  and that's a lot higher than what it was last year. So that team is doing an extremely good job there. Dilution is where we expected it to be. We've had some positive upgrade on the Goose pit as we've got into some higher-grade areas there, which is important there because we're getting to those areas, and we're able to get that tonnage out without any significant dilution. On the milling performance, we set a record 455 tonnes per hour. That milling performance, we expect to continue into 2013. And we've seen that as we've gone through our budget process, and gone through the performance to date and that's -- we look at that as an opportunity. And I think that's why we're expecting to see continued good performance on an annual basis coming out of Meadowbank as we move forward. As a result of record tonnage, our cost per tonne was in the low 80s, our budget was $96 a tonne. Our cash cost was well below on a unit basis per ounce basis lower than we expected, largely due to the increased production coming into the quarter. As we mentioned, our fourth quarter in the mining sequence will be lower grade, lower-grade cycle, so we'll see that impacted in Q4, and that's reflected in our revised guidance of 1,025,000 ounces. So I think I'd like to end on the Meadowbank and say that we've seen consistently higher operating profit coming out of that mine, as we've seen growing and high operating profit coming out of our Mexican operations, and as we go through the budget, the focus is really an operating profit, how do we maximize our operating profit coming out of these mines. As far as the new slope, exploration update as we mentioned in 2012, for 30 years, we talk about our dividend in December. This will be no different this year as we expect to be able to give a heads up on where we expect our dividend to be in 2013, and in February, our Q4 results, we'll put out our new reserve and resource estimates, and we'll put out our updated 3-year production guidance. So on that, I'd like to turn it over to the callers, operator, and the team would be happy to answer any questions.
Operator: [Operator Instructions]  Our first question comes from the line of Patrick Chidley, and he is from HSBC.
Patrick T. Chidley: I'd like to just first ask about what's going to happen at Kittila in terms of underground production. Maybe you can give us more detail on the ramp up in underground production rates and then how that will take over from the open pit.
Sean Boyd: Yes. Yvon?
Yvon Sylvestre: Yes. I think the -- we're terminating the pit production in the fourth quarter and moving to full underground production as of Q1 next year. The mine has been ramping up every quarter to the 3,000 tonnes per day rate just slightly over 2,000 tonnes per day in the last quarter. So we're pretty confident with the developments in the advanced schedule there. That's indiscernible] coming out of next year.
Patrick T. Chidley: Sorry, you're fading there.
Sean Boyd: You didn't here that, Patrick?
Patrick T. Chidley: Sorry, no. I didn't hear the end of that, sorry.
Yvon Sylvestre: Well, so far we're saying there's no surprises at the underground ramp up schedule basically.
Patrick T. Chidley: Okay. So 2,000 tonnes a day, and that'll be the process rate as well wouldn't it?
Yvon Sylvestre: There will be 3,000 tonnes per day next year. Currently, we're mining underground at 2,000 tonnes per day and roughly 1,000 tonnes per day for the open pit. The open pit will finish this quarter and we'll revert to full underground production afterwards.
Patrick T. Chidley: Okay. So by Q1, you should be into back at 3,000 tonnes a day underground?
Yvon Sylvestre: Yes, and essentially mining reserve rate tonnage.
Patrick T. Chidley: Okay. And just at Meadowbank, do you see any need for torsion over the winter in terms of production throughput that you're getting there?
Yvon Sylvestre: Can you repeat the question?
Patrick T. Chidley: Sorry. Now, at Meadowbank, could you expect to have the same sort of production throughput as you had in the third quarter and the winter in the fourth quarter into Q1?
Yvon Sylvestre: Well, I think on the tonnage, I think the -- overall, the production will continue to be strong on the production. We -- as we are mining the 5 different zones in the Portage pit presently, as we go through the 5 different areas, we'll get through variations with grade. Most likely in the fourth quarter, we're going to see a slightly lower grade in that area. But I think the guidance that we had shown so far for Meadowbank is attainable for the rest of the year.
Patrick T. Chidley: Okay. And in terms of guidance, production guidance for the mine for the whole year, what would that be? Right now, is it 300 -- just refresh my memory.
Sean Boyd: Yes. For 2012, to build up to our numbers, you're in that sort of 350 range at Meadowbank.
Patrick T. Chidley: 350. So that means that Q4 is going to be a lot lower than Q3, is that right?
Sean Boyd: Yes.
Patrick T. Chidley: And would that be without the impact of sort of surprise grades? Or is that a potential positive there?
Sean Boyd: So we don't really get into great forecasting on a quarterly basis. That's just based on our mine plan and our sequencing with the tonnage that we've been doing up until now.
Operator: And our next question comes from the line of Greg Barnes from TD Securities.
Greg Barnes: Sean, what do you the need to see at Meadowbank to start to push out the mine life beyond 2017?
Sean Boyd: Well, it's really costs, and we're starting to think about that now. We can see on a per tonne basis, if the run rate is what it is, then we can likely bring some of that resource into reserve. We ran in the quarter 455 tonnes an hour. We're running scenarios for next year that are above that, which lowers costs on a per tonne basis, and so that's the type of analysis we're doing right now.
Greg Barnes: Okay. And at Kittila, the 25% expansion, what does that entail, both, I guess, more in the process plant than underground.
Sean Boyd: Yes. Jean Robitaille will answer that question, Greg.
Jean Robitaille: Greg, essentially, the -- if you look in the sequence, the grade will not be sustained, so we need to increase the throughput to maintain the current profile of production. In terms of the expansion itself, it's a review of the different circuit to be able to process more tonnes, so the idea played itself will not be really impacted. We have enough capacity, but the remaining different circuit will be modified.
Greg Barnes: The autoclave won't be impacted, but crushing and grinding and floatation will have to be expanded, I guess. Is that right?
Jean Robitaille: Yes. As well as the CIL circuit.
Greg Barnes: So is that where the majority of the CapEx is going to be spent?
Jean Robitaille: Absolutely.
Operator: And our next question comes from the line of David Haughton from BMO Capital.
David Haughton: Just following on from those questions that Greg had on Kittila. My understanding is the current autoclave can go up to 50% above your current throughput. Is that correct, before you need to think about additional autoclave capacity?
Jean Robitaille: Presently, the 25% autoclave can handle that. It's amount -- the amount of sulfur that we have to feed the autoclave, so we don't see any problem. And you are quite right in between 3,750 tonnes per day up to potentially slightly higher than that, we can handle that without difficulty.
David Haughton: All right. Just changing continents, back to Creston Mascota. Can you just outline what has happened with the heap leach movement and what the remedial plans are? Is it just simply to build another pad and leave the current one settling with the leach cycle performing, or what is the circumstance there?
Timothy Haldane: David, it's Tim Haldane. So yes, we did have a movement of the ore on the upper lift of Phase 1 on a leach pad, and we suspended leaching on Phase 1. We already have Phase 2 built, so we've got some work to do to change our stacking plan and some minor modifications to Phase 2 so that we can get back up there and start stacking again on leaching on Phase 2, and that's why we're talking about resumption in the second quarter of next year. As far as Phase 1 goes, we just -- we need to do a back analysis to see what was the cause of the event. We don't have that answer yet. We're going to -- we need to find out the cause of the slippage but it looks like probably the remediation is going to be changing the stacking angle on Phase 1 and subsequent Phase 2. So we want to get that right. We want to take the time to do the analysis, but we were following a design stacking plan, and apparently, we need to modify the design.
David Haughton: And as far as the material goes right now, will you be adding any additional tonnage to pad one, or is just the legacy leaching of existing inventory that we'll see coming through?
Timothy Haldane: We still have to answer that. I'm not sure which, but where we were in the sequence anyway, we were getting ready to go to Phase 2. We were just -- we were planning to make that transition to Phase 2 anyway. So this is just more of a delay in production and operating challenge that we need to deal with for the next couple of quarters.
David Haughton: All right. Still in Mexico, Tim, maybe you can help on this. What's the current status of La India as far as the permitting goes, the progress towards construction and engineering and drawings and all that? Whereabouts are you standing right now?
Timothy Haldane: We have all the permits we need to do the construction and the first several years of operation at La India, the first 5 years of operation. The permits for the subsequent years are in evaluation right now, so they're in process. We don't see any concerns about permits. Construction, it's early. We've got a lot of the -- well, the basic engineering is done, detailed engineering is pretty well complete on most of the mechanical components and what's going on at site right now is some of the early earthworks. But it looks like we're on schedule.
David Haughton: Okay. And on schedule means expected production back in 2014?
Timothy Haldane: Yes. Second half.
David Haughton: All right. Moving just the last topic, further north where it's somewhat colder, what's the current status of the Meliadine project, whereabouts are you? What's your thinking, and when should we see some more news?
Sean Boyd: David, it's Sean. In terms of the timing, we are looking for the final feasibility, updated feasibility late next year or early 2014. The focus is still drilling and reserve and resource, calculation and update. The -- there's about $70 million, $75 million gets spent there annually. About 70% of that is within the deposit outlines looking to confirm and increase the confidence around the resource and move it into the reserve category. We would expect to give a construction decision some time in 2014. The ultimate production timeline will be driven off of the permits. We don't anticipate any issues, and that's why we were saying in terms of production, we're saying late second half 2017 or into 2018 depending on the permit scheduling. We will see an update on the exploration next month. We are actually working on a updated resource calculation on Wesmeg and Normeg. which we expect to have out in November. The full update on the overall reserve resource will have to wait until February, but some of our best drilling has been in Wesmeg and Normeg. Our geological interpretation is changing a bit in Normeg, maybe a high-grade ore shoot. So things are changing there, but we're just moving it forward at a very steady pace right now.
David Haughton: And you're thinking of open pit and underground, both together or one after the other or...
Sean Boyd: Combination of both together. The ultimate mix has still to be decided and that will happen over the next year or so, and will be driven largely by our engineering, our planning, but also exploration. And the drill program for next year is expected to be as comprehensive as we had this year where we drilled 145,000 meters. A lot of that information still hasn't been tabulated. We still have assays coming in. We expect to have the same type of activity as we said next year, so there's still a lot of information coming in.
Operator: And our next question comes from the line of Anita Soni from Crédit Suisse.
Anita Soni: And I've got 3 questions. First, just a follow-up on the Meadowbank extension of the mine life, that study that you're doing, when do you expect that to be completed and delivered to your Board?
Yvon Sylvestre: We're presently in the budget process. Probably over the next 2 months, we'll complete life of mine exercise and review some of these studies and we'll provide the clearance on that in the guidance period in mid-February.
Anita Soni: So there could be an increase if we're going to see an increase, their is potential to see it in February.
Yvon Sylvestre: We'll see that when we present it.
Anita Soni: Yes, okay. Secondly, on the grade reconciliation at Meadowbank, you're saying the Goose north pit was showing better-than-expected, I guess, grade reconciliation. How many tonnes overall in that pit versus all the reserve that you have and what was -- what kind of percentage churn have you seen in terms of grade reconciliation?
Yvon Sylvestre: I don't have all the specifics on the tonnage, but essentially, we've mined probably 30,000, 40,000 tonnes of Goose since July roughly. We've had 2 months where we've had no influence. We've had strong reconciliation grade at Goose at surface. We've seen similar effects in Portage in the past. We're going to be mining several benches in Q4. It will give us better feeling as to how strong the block model. Preliminary indications are that the -- we're cutting grade that at a level that is probably too low for the reality of the ore body there. I think the challenge is also in the geology side because the ore is more easier to dig out recovery-wise, so we're probably get -- also getting lower dilution in that area because of the markers. And I think in the pit itself, because of the variations of the different sectors that we've been mining, we've also had strong grade at Portage and the Roura Zone, which has given influence on the overall performance of Meadowbank on grade.
Sean Boyd: And Anita, we'll be able to take our experience from this year as is look at the reserves and the calculation around cutting factors and factor that into our life of mine planning that'll come out in February.
Anita Soni: Excellent. And last question, again, another grade reconciliation. But at LaRonde, it looks like the group gold grades are coming in better than expectations and I know that's well below the life of mine grade that you've got there, 4.4 grams. So it's actually not just the grade, it's the silver and the zinc. Should we expect that to sort of continue into next year, and really even before you get into sort of the deeper zone there?
Sean Boyd: Yes, I think one of the things to take from LaRonde's performance is that grade that we're getting is what we expected to get, so the block model is working in the lower mine. I think that's important as we transition to the lower mine. Our challenge is to get the tonnes that we expected to get there due to the heat and the congestion. So the mine plan that we're working on will be a slower ramp up than what we had originally anticipated. But our flexibility improves every month. We opened up and started a new pyramid in the third quarter, which gives us more flexibility. We're still challenged earlier next year with heat because we don't get the cooling system in place until the second half of 2013. And those are the types of issues that will result in a slower transition to the higher grade. I think the important factor is, is that the grade that we have expected to get from the block model, we are getting in that lower mine. So over time, we'll be mining above reserve grade when we get the tonnage up.
Anita Soni: Okay, then. So then I'm just curious as to the original guidance had a 2.3 gram per tonne for the grade for the year and you're sort of running just a little bit slightly better maybe it's splitting hairs, but this quarter was at 2.5.
Sean Boyd: Yes.
Anita Soni: I'm just wondering what the source of that was then.
Sean Boyd: That's the lower mine.
Operator: And our next question comes from the line of Joseph Reagor from Global Hunter Securities.
Joe Reagor: At Meadowbank, was the majority of the improvement quarter-over-quarter due to great dilution improvement and throughput? Or was there some geological great improvement side of things that was a major contributor as well?
Sean Boyd: Yes. They came from several areas. Clearly, grade was one, but also the tonnage was up over 1,000 tonnes a day from the previous quarter, setting record tonnage. So we've made major improvements in our mining efficiency both from the perspective of dilution and able to move not only ore, but also waste as we indicated in the call. We set a record of 102,000 tonnes per day in total movement of ore and waste so much more efficient so that was also a big contributor, as well as the grade and the upgrade that we saw in part of the Goose deposit.
Joe Reagor: Okay. Looking at your previous mine plan that you had there, I know you guys are updating it. But the previous one showed a reduction in waste ore in next year and the year after year. Is that still the case? Or was it -- is that now about even across-the-board with reductions in Q2 and Q3?
Yvon Sylvestre: Well, the last life of mine exercise that we had shown -- we're shown similar stripping ratios for 2013, '14 as we were -- as we are doing in 2012.
Joe Reagor: Okay. And then a more grander picture thing, side of things, you are estimating $660 cash cost, $602 year-to-date, so that leaves rough numbers $850 for the fourth quarter. Can you guys give some color as to where the major increases are going to occur?
Sean Boyd: Well, if you look at the math, Meadowbank will probably be, as far as gold production, the lowest quarter out of all the quarters and that's the biggest part of our production base so it will have the most meaningful impact on the cost structure. So you'll see it there. Kittila, you'll also see as well, but it's largely at Meadowbank.
Joe Reagor: Okay. And then just one final minor thing. Are you guys have any update on what's going on with Tarachi? I know that's a more longer-term project, but have you guys have done any drilling or seen any good results there.
Alain Blackburn: Alain Blackburn speaking. Right now, we have 3 rigs on the site. And if you remember, the resource when we calculated December last year, we have [indiscernible] 36 million tonnes that weigh 55 gram per tonne and that's mean 650,000 ounces an issue at the end of this year. We will update the resource calculation and ensure that the resource will increase.
Joe Reagor: Okay. And what's the total yearly spend there this year for exploration?
Alain Blackburn: I think it we spend around $6 million on the Tarachi only.
Operator: And your next question comes from the line of Steven Butler from Canaccord Genuity.
Steven Butler: Sean, maybe I'll take that word sandbag in my title, but I know it still was an excellent performance guys. That was an inside thing with you. But on Meadowbank, the quarterly -- the cash cost served, $81 a tonne , and in fact the last 3 or 4 quarters, you guys are running around maybe around $80 million per quarter but it seems to be obviously scale that's giving you that cost per tonne reduction. Do you guys think there's any more areas for cost reductions at Meadowbank?
Sean Boyd: Yes. It's in the sort of mid-80s, is sort of the outlay on a quarterly basis. The team was largely focused over the last little while on getting throughput up and getting more efficient from a mining perspective. And now that they've done an excellent job on that, they are looking at several cost reduction initiatives. We don't think that's going to have a material impact on improving costs, but maybe they allow us to offset some of the input price pressures.
Steven Butler: Right. And were you thinking sort of in your planning on reserves last year, I know last year, Sean, where we saw a pretty reduction in both grade and tonnes and ounces. Were you sort of implying at that time the sort of longer-term view of maybe $100 a tonne for the site?
Sean Boyd: I'm not sure what the exact number we were using in the planning. But it was more to do with trying to eliminate the requirements for waste development given that we were nowhere near moving 100,000 tonnes of ore and waste a day. We've proven we can do that, and that's why we need to revisit the overall plan. So it's more along those lines.
Steven Butler: Okay. And lastly, Sean, I mean, there's a wonderful increase in throughput there in Q3  versus just Q2, so 10% bump roughly. And you sort of implied in your  remarks that, that your hope to that may be a sustainable rate as the ore hardness or something a bit different in the third quarter? Or was there anomalously a better result or simply just getting the circuit going even, I mean, better?
Yvon Sylvestre: No. I think the overall improvement that then relating to optimization around the crushing area, both at the [indiscernible] and at the secondary stage, they've been able to clamp down that crusher and get the more fine and generate more tonnage overall through the plant. And they're pretty comfortable about the sustainability of that.
Sean Boyd: I think, Steve, the best investment I think, we -- one of the best investments we made last year with the technical service group here and the team at Meadowbank was $28 million for the crushing facility. That actually did work quite well last year. So we knew coming into this year that we could process a lot of tonnes. What weren't sure of, as we said earlier in the call, was how efficient we will be at mining and could we deliver those tonnes. Well, we've just answered the second part of that equation with the performance so far this year. So that's what's helped.
Steven Butler: All right. Are you guys hoping or thinking that the long-term throughput -- underground mill throughput at LaRonde will be in the 6,000 or 6,300 tonne per day level. Is that the long-term plan?
Sean Boyd: Yes, that's still the case.
Operator: [Operator Instructions] And our next question comes from the line of Anita Soni from Crédit Suisse.
Anita Soni: Just following up on Steve's question with regards to LaRonde throughput. Next year, could we see levels that we saw in terms of throughput in Q4? Or should we be modeling that somewhat until the event expansion go through in the fourth quarter?
Sean Boyd: We're still working on those numbers right now. It's clearly not going to be what we thought it was going to be earlier this year. But the improvement, as we said, we're still seeing improvements on a monthly basis given the fact that we're just opening up more working areas in the underground mine. So we'll come out with a 3-year forecast tonnage and grade in February for LaRonde. That'll take us out through the end of 2015.
Anita Soni: And just a final question on Meadowbank. Is there any seasonality as we come into the winter months at Meadowbank that we should think about this year? Or have those issues been largely result?
Yvon Sylvestre: Presently, we're still looking at the Q1 with the budget in mine, maybe 5% to 7% decrease in production to take into consideration winter challenges up there. As far as the rest, I think the guidance will reflect the numbers going forward. The numbers you saw this year in production are -- should be -- unless extreme measures, we should see continuity of production in 2012.
Operator: Our next question comes from the line of John Bridges from the JPMorgan.
John D. Bridges: Just wanted to dig a little bit into Kittila. You've been digging the last of the pit out with the strips so the numbers, cost numbers this quarter were a bit quite nice. You were saying you're going to go all underground next year. Do you have a sort of order of magnitude to give us a bit of guidance as to what we should be expecting in terms of cost?
Sean Boyd: No. Not at this point. We're still going through the budgeting process. I think we were in that sort of high EUR 60s, EUR 70 per tonne area this year. We will clearly be higher than that next year. But we'll reserve comment on that until we go through the budget process.
John D. Bridges: Do you have a specific cost number that you've been attributing to the pit?
Sean Boyd: I think we look at the open pit underground split, the underground currently at about 1,700 tonnes a day with the remaining 1,300 to 1,400 tonnes aday coming from a pit. So a little more emphasis on the underground as we move through the year. And those were -- will cost representative what that mix would be on a per tonne basis in that EUR 70 range. So as we move to next year, we will see that sort of go up with less impact from the pit ore.
Operator: And our next question comes from the line of Joung Park from Morningstar Research.
Joung Park: So just going to Meadowbank, I know a lot of questions have been asked on that one. But it's been 4 or 5 quarters since you've been above the design capacity of 8,500 tonnes per day there. And if you factor in the normalized winter, what do you think we can expect for a baseline annual throughput at that mine going forward?
Sean Boyd: Well, we're looking at a run rate equivalent to where we were this quarter. I think we've seen 3 strong quarters. So we're looking at those types of run rates. Those are the types of run rates we're discussing in our budget process right now for next year at Meadowbank.
Joung Park: Okay. And should we read anything into the very good recovery rates at Kittila during the quarter? Or are you guys still guiding for the mid-80s recovery rates for that mine?
Yvon Sylvestre: We -- Yvon speaking. The recovery was sustained very high and for sure we are in transition going underground. So we preferred to keep in your model 86% for now. What we achieved in the last quarter very good result, so we anticipate to be both -- to be above the mid-80% mark.
Joung Park: So expecting to be above the mid-80s mark?
Yvon Sylvestre: Yes. 86% for now.
Joung Park: Okay. And then my final question, going to Slide 9 of the presentation, the illustrative ongoing reinvestment figure in that chart, is that just the maintenance CapEx? Or is that also including development spending for some  of your growth projects like La India and the Kittila expansion?
Sean Boyd: Yes. There's a rough estimate in there for that number. Our guidance has been $500 million to $600 million. That's an estimate because the vast majority of that sort of ballpark has not been presented or approved by the Board. That's just our sort of ballpark estimate of what it may look like over the next 4 to 5 years given that we have projects to build.
Operator: And your next question comes from the line of Alec Kodatsky from CIBC.
Alec Kodatsky: I just wondered if it might be able to get a bit of color around what's been different with the ventilation system at LaRonde relative to your expectations. Just --  is it the fact that the planned expansion happening later than you anticipated or is there something else that's going on there that's been a surprise?
Yvon Sylvestre: Well, I guess it's a combination of things. I think the fact that the heat has been greater than anticipated in some of the areas that hurt on productivity. Productivity's had some impact on the development schedule, but that also had some delays in the equipment delivery. So I think these are the factors going forward. And as some changes were done to the ventilation network this year. They've provided for a minor reduction in heat. Booster fan are going to be added for the exhaust in next year and were -- and coolant plant wells will be added in the deeper portion of the mine. So as we complete these, we'll have better conditions to get back to the original plan.
Operator: And our next question comes from the line of Virginia O'Kelley [ph] from ING.
Unknown Analyst: Yes, just a question on the Meadowbank. I know that there was increased asbestos there and just any control concerns that you might have or ventilation or work health issues?
Yvon Sylvestre: Sorry. In the last basically, the last 2 quarters, we've had some areas particularly in the Goose area where we found some fibrous material that have been linked to asbestos. We're in the process of defining the sampling campaign around the area. But it's mostly relating to sample prep in laboratory in -- at the crushing plant in the mill. The fact, that's correct. This is something that's ongoing and that we're working with the local community on protecting the people there in getting the information there.
Operator: And we have no further questions at this time.
Sean Boyd: Okay. Thank you, everyone. Thanks for the attention, and thanks for the good questions and participating in our Q3 2012 call. Thanks again.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.